Operator: Good morning, ladies and gentlemen, and welcome to the Q2 2014 SPX Corporation Earnings Conference Call, hosted by Ryan Taylor, Director of Investor Relations. My name is Benny, and I'll be your event manager this morning. [Operator Instructions] And now, I'd like to hand over to Ryan Taylor. Please go ahead.
Ryan Taylor: Thanks, Benny, and good morning, everyone. Thank you for joining us. With me on the call this morning are Chris Kearney, our Chairman, President and CEO of SPX; and Jeremy Smeltser, our Chief Financial Officer. Our earnings press release was issued this morning and can be found on our website at spx.com. This morning's call is being webcast with a slide presentation located in the Investor Relations section of our website. This webcast will be available until August 6. I encourage you to follow along with the webcast as we refer to the details on the slides. Unless otherwise noted, the financial information presented today is on a continuing operations basis. And as a reminder, our full year 2014 earnings per share guidance is on an adjusted basis to exclude the gain on the sale of our EGS joint venture interest, early extinguishment of debt charges and nonservice cost pension items. Our 2014 free cash flow guidance is also on an adjusted basis to exclude payments associated with the gains on asset sales. In the Appendix, we have also provided reconciliations for all non-GAAP financial measures included in today's presentation. I'd also like to point out that portions of our presentation and comments are forward-looking and subject to Safe Harbor provisions. And please also note the risk factors in our most recent SEC filings. And with that, I'll turn the call over to Chris.
Christopher J. Kearney: Thanks, Ryan, and good morning, everyone. We are pleased with the progress in the first half of the year, including the successful execution of several key strategic initiatives and capital allocation actions. Operationally, we continue to benefit from the organizational changes and restructuring actions executed over the past several quarters. As a result, we've significantly reduced our global cost structure and improved our operating performance. These benefits are reflected in our positive start to 2014. In the first 6 months, segment income increased 14% year-over-year and margins expanded 120 points. Looking at Q2, EPS was $1.25, up 54% year-over-year and $0.04 above the high end of our guidance range. Segment margins expanded 50 points, making -- marking our fifth consecutive quarter with year-over-year margin improvement. This improvement was led by our Flow segment, where operating income increased 32% to $88 million and margins expanded 310 points year-over-year to 13.4%, within our long-term target range. The impressive performance by Flow was the highlight of the quarter and underscores our long-term strategy. Flow's performance was partially offset by an $8 million charge recorded in our Thermal segment. This charge reflects increased cost estimates due primarily to subcontractor challenges on the power projects in South Africa. Jeremy will provide more detail on this charge later in the call. Book-to-bill for the quarter was steady at 1x, and our ending Q2 backlog was up 2% over the prior year. Orders increased 4% year-over-year and 9% sequentially. For the second half of the year, we expect revenue growth to accelerate as we continue to focus on improving our operating performance and strategically developing our Flow end markets. In addition, we remain committed to returning capital to shareholders. We completed $140 million of share repurchases during the quarter. To date, we've now executed approximately 2/3 of the $500 million share repurchase plan. We continue to make progress on our cost-reduction initiatives. The restructuring actions completed over the last 6 quarters were concentrated in our Flow and Thermal segments and have significantly reduced our global cost base. We recorded $14 million of restructuring in the first half and have $11 million budgeted for the balance of the year, the majority of which we plan to execute in the third quarter. These actions include steps to further optimize our global footprint and reduce our cost structure. We expect the majority of the savings from these additional actions to be realized in 2015. Looking now at end market trends, beginning with Flow. Demand in our short-cycle businesses is healthy, and we continue to see strong quoting activity for large projects across Flow's key end markets. In Food and Beverage, component and aftermarket bookings remain steady, and we've seen a positive start to the bookings in the third quarter, consistent with our expectations. System orders began to pick up in Q2. As you may have seen in our recent press releases, we were awarded 2 large projects, including a baby food plant in Europe and a margarine plant in Australia. The pipeline of system opportunities remains very strong, and we're currently involved in preengineering and quoting activity for several dairy plants in EMEA and Asia. Our project selectivity continues to improve. The screening process implemented by Mark, Michael and his team is designed to identify opportunities that maximize our technology and delivery capabilities. Additionally, we're targeting system opportunities that have a higher percentage of SPX factory content, which ultimately drives our aftermarket potential. In Flow's Power and Energy markets, demand in North America for oil pipeline valves remains robust, with no signs of slowing in the near term. Aftermarket orders in our pump business grew single digits year-over-year and sequentially. In the second half, we expect sequential growth in aftermarket bookings, consistent with typical seasonality. The order pipeline for OE pumps remains strong, particularly in North America and in the Middle East. However, many of the orders we are targeting have been delayed due to various factors, including political unrest and further evaluation of technical specs by our customers. On a positive note, some of our OE pump opportunities have led to advanced discussions with our key oil and gas customers on packaged offerings that include multiple SPX products. We believe the breadth of our Power and Energy product offering is a competitive advantage, and it's a core part of our commercial strategy to provide customers with a streamlined solution to their supplier needs. We're particularly encouraged by opportunities to supply multiple SPX products into pumping stations in the North American pipeline industry. In Flow's industrial markets, Q2 orders were up mid-single digits over the prior year, driven by demand for short-cycle products and chemical processing, compressed air and marine products. In contrast, demand in mining remains depressed. Moving on now to our power transformer business. The historically cyclical U.S. power transformer market has been remarkably consistent over the last 6 to 8 quarters, with strong volume, steady lead times and competitive pricing. We continue to see a high level of investment by our utility customers, driven by demand to replace the aged installed base. We've also seen an increase in opportunities to supply transformers into adjacent markets, such as oil and gas and data centers, similar to our approach with cooling towers. In our Thermal segment, we saw a strong sequential and year-over-year order growth in our personal comfort heating products, a positive development this early in the year. In our Cooling business, Gene Lowe and his team continue to benefits from commercial initiatives focused on adjacent market expansion, channel partner development and new product offerings. These initiatives have increased our exposure to petrochemical, industrial and HVAC applications, primarily in North America. Fertilizer plants and data centers are 2 key areas where we've seen good success. We also won a few nice-sized power generation orders in Q2. That said, the challenging conditions in power generation markets persist in North America and in Europe. The benefits from our commercial initiatives are underscored by the growth in Thermal's core backlog, which is up 11% year-over-year, excluding South Africa. So overall, we're encouraged by our first half performance, the positive trends in our key end markets and solid backlog position. Based on our first half results and current outlook, we've updated our full year revenue and margin expectations. On a consolidated basis, we're now targeting 3% to 5% revenue growth and 80 points of segment margin improvement. We reaffirmed our EPS guidance range of $5 to $5.50 per share, and our free cash flow range is unchanged at $225 million to $275 million. Jeremy will take you through a detailed analysis of our second quarter results, updated segment targets and Q3 expectations. And at this time, I'll turn the call over to him.
Jeremy W. Smeltser: Thanks, Chris. Good morning, everyone. I'll begin with earnings per share. For the second quarter, we reported diluted earnings of $1.25 per share, exceeding our guidance range and $0.09 above the midpoint. As compared to our midpoint guidance, segment income was $0.06 better than expected. This excludes the $8 million charge related to the South Africa projects, which was not anticipated in our guidance. On a net basis, including the associated tax and minority interest, the South Africa charge had a $0.10 impact on our reported results. This charge was largely offset by $0.09 of discrete tax benefits. And net other items were a $0.04 benefit. Total revenue in the quarter was $1.18 billion, up 1.5% versus the prior year, due primarily to currency. Organic revenue was essentially flat on a consolidated basis. Revenue associated with the South Africa projects declined approximately $30 million, offsetting growth in other areas. Excluding the impact from that decline, organic growth was just under 3%. Segment income increased $8 million or 7% over the prior year to $123 million, and margins improved 50 points to 10.4%. The segment income and margin growth was driven largely by our Flow segment, which reported significant improvement over the prior year. The $8 million charge in South Africa partially offset this improvement, diluting our consolidated segment income margin by 70 points. Taking a closer look at Flow. Flow reported $661 million of revenue for the quarter, up 1% versus the prior year due to currency benefits. Organic revenue declined modestly. The most notable driver of the decline was lower sales of industrial mixers, reflecting fewer large capital projects than we had in the year-ago quarter. Specifically, last year, we had a large mixer project related to a mining application and a couple of large mixer projects in the chemical processing industry. In contrast to mixers, sales of oil pipeline valves in North America were up year-over-year. Revenue related to nuclear valves also increased. These are the squib valves we are supplying Westinghouse for their AP1000 plants in China and in the U.S. Food and Beverage revenue increased modestly over the prior year, driven by growth in Asia Pacific, and aftermarket sales were also up across most of Flow's end markets. Segment income increased $21 million or 32% to $88 million, and margins expanded 310 points to 13.4%. The improved profitability was largely driven by Flow's Power and Energy business, led by Tony Renzi, which benefited from cost reductions associated with restructuring actions and the increased revenue related to nuclear and pipeline valves. Flow's backlog was up 2.4% over the prior year to $1.35 billion, largely driven by our Food and Beverage backlog. On a sequential basis, Flow's backlog declined 3%, primarily reflecting the order delays that Chris mentioned in our OE pump business. We continue to track these and other large orders in our front log. Quoting activity across most of our Flow markets continues to be strong, particularly for large projects in oil and gas and dairy applications. Overall, our improved selectivity continues to benefit the quality of Flow's backlog and our ability to better serve our customers. Based on the phasing of projects and backlog as well as steady growth in short-cycle run rates, we expect Flow's revenue to grow organically in the second half of the year. Looking now at our Thermal segment. Second quarter revenue declined 7% year-over-year to $327 million. Currency was a modest headwind. Organic revenue was down 6% or $21 million. The organic decline was due to the $30 million revenue ramp-down on the South Africa projects. Excluding this impact, Thermal's organic revenue increased 3%, driven primarily by increased sales of personal comfort heating products in the U.S. and cooling equipment in Asia Pacific. Segment income was $10 million and margins were 2.9%. For the period, South Africa incurred a net operating loss and accounted for nearly the entire decline in Thermal's year-over-year profitability. Operating income in South Africa declined $16 million, partly due to the revenue decline and favorable contract price adjustments recorded in Q2 2013, which did not repeat this year, as well as the $8 million of increased cost estimates on the large power projects. The majority of these costs relate to challenges with subcontractors who have not completed their contractual obligations but are now in financial difficulty. We are evaluating our legal options related to those entities. From an execution perspective, we are either taking direct control of the remaining scope or engaging alternative subcontractors as we continue to work with our customers and Eskom towards completion of these important projects. To keep this in perspective, it is important to note that this $8 million charge reflects incremental cost expectations for the entire life of these projects, which began contributing revenue in 2008. To date, we have recorded over $1 billion of revenue on these projects, and including the increased cost estimate, our profit margins are near the original expectations. The labor unrest and overall work environment in South Africa has become increasingly challenging and has been impacting a number of companies. We believe Gene and the local team are doing an admirable job managing through these difficult circumstances. The backlog in South Africa is now down to $124 million, with about 90% related to the Medupi and Kusile projects. We are also estimating approximately $90 million of future contract price adjustments that will contribute to revenue over the remaining life of these projects. Outside South Africa, we are encouraged with the improvement in Thermal's core business. The commercial initiatives Gene has implemented are reflected in the order and backlog development. Thermal's core backlog increased 5% sequentially and is up 11% year-over-year. Given the backlog growth, as the revenue headwinds in South Africa moderate in the second half, we expect Thermal to experience organic revenue growth over the balance of the year. Moving on to Industrial. Revenue was up 21% to $191 million. Organic revenue grew 19%, with growth at each business. The most notable growth was in our power transformer business. Revenue from transformer shipments increased by more than 30% year-over-year, primarily driven by higher volume due to improved throughput. This growth also reflects the weather-delayed shipments from Q1 delivered early in the second quarter. Segment income increased 16% to $25 million, with operating margins at 13.2%. Margins declined versus the prior year due to the significant increase in power transformer revenue, which has lower margins than the segment average, due largely to the competitive pricing environment. Looking forward to the third quarter, we are targeting a very similar revenue and margin performance in this segment. Industrial's ending Q2 backlog increased 7% sequentially and 11% year-over-year to $335 million. Although the overall demand environment in the U.S. transformer market remains relatively stable, our order volume in Q2 was quite strong. We have essentially filled our production schedule this year, and we are now quoting on units to be delivered in the first half of 2015. Before I turn the call back over to Chris, I'll provide updated financial targets and a brief update on our financial position. In the third quarter, we are targeting 6% to 9% revenue growth over the prior year. We expect revenue growth in all 3 segments, with the strongest growth in Flow, and we are modeling a 1% currency benefit. Segment income is targeted at $135 million to $145 million, with margins consistent with the prior year at about 11.3%. We expect margins in Flow to continue to expand year-over-year in the third quarter. However, given Flow's strong margin performance in Q3 2013, the level of expansion is not expected to be as strong as our first half performance. The primary reason for this is that we will begin to annualize some of the cost-reduction benefits. Flow's Q3 margin improvement is expected to be offset by margin headwinds at Industrial, where, similar to Q2, we expect strong revenue in our transformer business to be dilutive to the group average in the Industrial segment. That said, we are targeting year-over-year margin improvement in the Transformer business due to improved productivity and reduced cost, driven by design improvements. We are also targeting $7 million to $10 million of restructuring expense in the third quarter as we continue to focus on cost-reduction actions. And we're modeling just under 43 million shares outstanding. Based on these assumptions, our Q3 adjusted EPS guidance range is $1.30 to $1.40. Looking at our updated targets for the full year. At Flow, we narrowed the revenue growth to between 3% and 5%. Given the strong first half margin performance, we increased Flow's full year margin expectations. We now expect Flow's margins to expand 130 points year-over-year to approximately 13%. This now has us at the low end of our 13% to 15% long-term target range on an annual basis. For Thermal, we increased the expected revenue growth to between 1% and 3%, reflecting the increased backlog. However, due primarily to the Q2 charge in South Africa, we now expect Thermal's margin to decline about 30 points year-over-year. At Industrial, we reduced the revenue growth target to between 4% and 8% and now expect only 30 points of margin improvement over the prior year. In a few higher-margin industrial businesses, we are attracting some potential orders not included in these revised targets. We believe we are well positioned to win these orders. However, the timing of order placement has become more uncertain. On a consolidated basis, we are targeting 3% to 5% revenue growth and 80 points of segment margin improvement. And as Chris mentioned, we reaffirmed our adjusted EPS and free cash flow guidance. Our financial position remains healthy. In the second quarter, we generated $62 million of adjusted free cash flow and also received $63 million in pretax proceeds from the sale of precision components. We paid $114 million of taxes related to gains on asset sales and completed $140 million of share repurchases during the period. As planned, we executed the $100 million delayed draw option on our term loan. The average interest rate on our senior credit facilities is just under 2%. We ended the quarter with $466 million of cash on hand and $1.3 billion of total debt, and our gross leverage ratio remained within our target range. We are targeting approximately $260 million of adjusted free cash flow over the balance of the year. And based on our current liquidity and cash projections, we are sufficiently funded to execute the remainder of our 2014 capital allocation plan and tax payments. We expect to remain in a very solid financial position throughout the year. With that, I'll turn the call back over to Chris.
Christopher J. Kearney: Thanks, Jeremy. So with respect to capital allocation, in the near term, we remain focused on increasing operating margins and returning capital to shareholders through our increased dividend and share repurchases. As we evaluate future organic growth initiatives and restructuring actions, our goal is to invest in the highest risk-adjusted return opportunities. We view acquisitions as part of our long-term strategy to further expand our Flow business. However, we do not plan on allocating capital to acquisitions in the near term, consistent with our recent comments and organizational focus on improving profitability. As many of you know, last year, we transitioned to a new operating structure. This has better aligned our resources, simplified our business and improved our overall performance. It's also streamlined new product development, provided structural support to grow our Flow end markets and enhanced our global brand identity as one SPX. Today, we're in a better position to support our customers and advance our commercial and strategic initiatives. I want to thank our 14,000 employees worldwide for their efforts supporting these initiatives. Specifically, I want to recognize the 5 operational leaders who have been at the forefront of this effort, working together to improve our organizational structure. Each has served in various roles at SPX and was promoted into a new position with expanded responsibilities last year. You'll have the opportunity to meet them at the investor event we're hosting in Wisconsin on September 8 and 9. This event will feature a comprehensive presentation on all 3 segments, including a deep dive into Flow's end markets. In addition, we're providing plant tours of our largest food and beverage facility in North America and our power transformer plant in Waukesha. If you'd like to attend, please contact Ryan, and he'll provide you with the registration information. So in summary, we successfully executed our capital allocation and strategic initiatives in the first half. Operationally, this is our fifth consecutive quarter with improved year-over-year margin performance. We're very pleased with the continued margin expansion at Flow. Our improved order discipline and project selectivity has resulted in a healthier backlog. And from an end market perspective, short-cycle trends are generally positive, and our large product order pipeline remains very attractive, supporting our revenue and bookings forecast for the year. Across our organization, we're committed to driving a leaner cost structure, improving our return profile and investing in profitable growth. So that concludes our prepared remarks. And at this time, we'll be happy to take your questions.
Operator: [Operator Instructions] Okay, your first question comes from Mike Halloran from Robert Baird.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: So kind of latching onto that -- how you ended there, Chris. When you look at the second half of the year, you've got a couple units, the Thermal piece and the Flow piece, where you're assuming some pretty healthy revenue acceleration, some very strong revenue growth numbers. And so maybe just a little bit more color on what you're seeing in your backlog, what you're seeing in the order book in those 2 segments, or if it's just comparisons that gives you that confidence that you can see that acceleration.
Christopher J. Kearney: Sure, happy to, Mike. So recall that as we had forecasted the ramp-down of our South Africa project in Thermal, we said that, that headwind would abate in the second half of the year. And when you contrast that with the organic growth that we've seen in the backlog and the order trends in Thermal, that will be realized in growth in the second half, which caused us -- those 2 things happening caused us to look at a healthier growth prospect for Thermal in the second half of the year. With respect to Flow, when we look at the short-cycle order trends and when we look at the backlog and the front log activity we see with respect to large projects, and when we look at where we are with respect to that backlog at the same point in the year as we were last year, we feel very good about how we see that developing. And it's important to remember that the second half is always a bigger revenue half for Flow, reflecting the seasonality, particularly in the aftermarket part of that business, which we'll see, as we normally do, in Q4.
Jeremy W. Smeltser: Yes. I think if you look back, Mike, to the -- to last year and some of our larger orders, as we expected, those are timed to be recognized in the second half of this year. And if you look at our revenue for the second half of the year, about a little over 60% of it is actually in backlog at June 30, which is very consistent with the percentage last year, which is an important kind of analytical tool to look at for us. So based on those factors and the year-over-year backlog increase, combined with Chris' comments, I think we're in the sweet spot there.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: Okay, that makes a lot of sense. That's helpful. And then just the confidence on that order book -- and less on the order book, excuse me, more on the conversion of that pipeline. We've seen some delays so far. Obviously, maybe a little bit tougher order quarter just on a year-over-year basis on the Flow side, but a lot of confidence on what that looks like on a forward basis. So maybe some discussion about what your customers are saying right now, what's in that order book, where the areas of strength are and confidence that, that conversion can start occurring.
Christopher J. Kearney: Yes. We're feeling good, Mike, about -- if you look at Flow and the large project activity, particularly in the oil and gas platform and in Food and Beverage, there's a lot of attractive stuff going on, which we reasonably expect will convert to orders. And so we like the trends that we're seeing there. It's also important to note that in both of those end market platforms, with the new leadership that we've installed, there's been a much more disciplined approach to order selection. And so that's manifested itself in a higher-quality backlog and a better process going forward. The other part that's important to remember is that, particularly in oil and gas, as we've integrated ClydeUnion into that platform, remember that part of the attraction of that business was that as we integrated into the rest of the oil and gas Flow business, the opportunity for us to gain a competitive advantage and sell system solutions that go across our product lines was quite attractive. And Tony and his team have spent a lot of time developing that, so we feel good about the direction that's going and the opportunities that'll be created from that. Likewise, in Food and Beverage, Mark and his team have done a really good job in terms of reprioritizing the opportunities, looking for things that are in our sweet spot from a systems perspective, looking for projects, as I mentioned in my remarks, that have greater SPX content and greater aftermarket opportunities. So that seems to be coming together nicely for us and, I think, bodes well for the future of that business as well.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: And just sneak one, real quick one, in. What tax rates should we be thinking about for the back half of the year, Jeremy?
Jeremy W. Smeltser: Right about 28% on average.
Operator: Next question comes from Nigel Coe from Morgan Stanley.
Andrew Obin - BofA Merrill Lynch, Research Division: It's Drew on for Nigel. I just had a quick question. Could you dive a little bit further into the Thermal charges? Just what actually is going on there? And just a little more color around that whole situation would be great.
Christopher J. Kearney: Sure, sure. So the 2 primary areas that make up that charge, Drew, are the construction of our filters and the procurement of steel that's used in the filter design. So at this point, we're transitioning to a new steel supplier, and our team in South Africa has actually taken over the construction of the filter. So that's the majority of it. To a lesser extent, we've also had some challenges with subcontractors on the cooling towers, and we've been -- we've made the decision to take in -- to step in and take over that work ourselves as well, and thus we've incurred additional costs. So if you think about the action that we've taken, this has been a long road and a very large project in South Africa, and we're at a point where we have the opportunity to take better control -- greater control over the things that are in our area and help mitigate the variables and the risk going forward and feel better about getting this project completed and over the finish line.
Andrew Obin - BofA Merrill Lynch, Research Division: Okay, great. That's helpful. Should we be thinking about anything specifically as far as the next couple of quarters with -- as it pertains to the size of charges going forward? Do you have any sense for how much that will be?
Jeremy W. Smeltser: Well, so the charge that we've taken is essentially an estimate to complete over the life of the projects. Remember, these are recognized on a percentage of completion basis. So at this point in time, based on everything we know, there aren't anticipated additional charges. So the kind of way to look at it for the year as you're modeling it is, in total, with this charge in the first half of the year, we lost money in South Africa with the charge. We would expect that to change in the second half as we get back to our normal run rates of margins, which, as I mentioned in my prepared remarks, are steady and fairly consistent with our original expectations. And then as you look out further, the revenue reduction and OP reduction year-over-year that we experienced in the first half each quarter in -- from South Africa should be mitigated somewhat in the second half as the new run rate is annualized. And then as we look into next year, at this point in time, we would expect a relatively consistent level of revenue for South Africa in 2015 that we've seen in 2014.
Operator: Next question comes from Julian Mitchell from Crédit Suisse.
Jonathan Shaffer - Crédit Suisse AG, Research Division: This is Jon Shaffer for Julian. I was just wondering if you could talk a little bit more about kind of what's going on in transformer. It seems like the orders are very strong, and the organic underlying growth in this quarter and the expected for next quarter is also very strong, but pricing remains a challenge. Could you maybe just kind of highlight, between medium and large, what's going on there? And is it kind of competitive dynamics and additional capacity coming online? Or is there something else going on?
Christopher J. Kearney: Yes. Let's talk about it first with respect to medium power, since that's the lion's share of our business and, historically, where we've been a significant player. So over the last 2 years, we've seen a very healthy stream of orders and backlog development, which has developed, obviously, into pretty significantly increased revenue from the down point in the cycle. And so we're certainly into -- well into a recovery period in terms of that replacement activity. What's different this time around is that there is incrementally more capacity in the market that was added at the last peak, including capacity that was added by us that's focused and dedicated to large power. But we've also had the strange dynamic that we've not seen in past cycles, where, even as the economy expands, we've seen declining electricity demand. So those things, taken together, but particularly the incremental capacity that's been added in the -- among the suppliers to the U.S. market has muted pricing. But demand has remained very steady and at a very healthy pace, and pricing has remained relatively steady as well. So that's the medium power market. In large power, kind of a similar scenario in that pricing is still very challenging. Demand is reasonably steady. That market is likewise largely replacement, with actually a more severe aging profile among large power transformers than medium. And what we've done in those circumstances is really focus on operational improvement and have improved efficiency in our factories, particularly Waukesha, pretty significantly. And we focused on product design to get in a better cost position. So even in this extended recovery, where we haven't seen pricing move like we have in past recovery cycles, we think we're well positioned to, one, still be very competitive in that market as we are but, I think, to manage a very different pricing demand in a way that we can certainly live with and makes the business attractive even under that scenario.
Jonathan Shaffer - Crédit Suisse AG, Research Division: That's very, very helpful. And just as a quick follow-up to that, is some of the decline in the margin you're expecting in Industrial related to the power transformer business? Or is there anything else going on and kind of underlying Industrial?
Jeremy W. Smeltser: Yes. So margins are up in the transformer business year-over-year fairly consistently, but that's dragging the margins down in the segment as the transformers become a larger and larger percentage of the revenue because the margins -- absolutely, margins in the transformer business are less than the average of the segment. And then one important point for modeling, particularly around Q3, is that year-over-year in our smaller, more profitable niche businesses, we do expect a lower level of revenue in Q3 versus a higher level of revenue in Q4, which is skewing the margins between Q3 and Q4.
Operator: Next question comes from John Baliotti from Janney Capital Markets.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: Chris, all the -- I'll go back in time. It looks like this might be the first quarter in a while where all the backlogs for the segments were all up year-over-year at the same time. And it seems that based on the revised margin expectations that you guys laid out, Flow, I guess, within that backlog, has the better, I guess, the better mix or the more consistent business in the backlog. Is that fair?
Christopher J. Kearney: Well, it's -- because of the quality of the backlog that I alluded to earlier, John, in Flow, we believe it is a stronger mix of product, both from a system and a component and aftermarket service perspective. But even if you look at the significant year-over-year uptick in the Thermal business x South Africa, that's likewise probably healthier than it's been in the past. And so the -- with respect to the Industrial segment, we're seeing what I just described in terms of the trends in the transformer business, and that's healthy, albeit at lower pricing levels than we've seen in past recovery cycles. But generally, the answer to that question is yes. I mean, we're pleased with the quality of the backlog across all of the businesses and the disciplines that we've worked really hard to instill, particularly in Flow. And so all of the hard work that's reflected in the organizational changes and the approach that particularly Mark and Tony have taken to the front end of their business and the commercial disciplines really have made a marked improvement. You're seeing it obviously reflected in the margin improvement we've seen in Flow over the last several quarters now. And we think, as we anticipate revenues increasing in the second half of the year in Flow, particularly in Q4, those dividends -- those changes will pay huge dividends for us in terms of how we expect those businesses to perform.
Jeremy W. Smeltser: Yes. And the guys will get into more details on that here in a few weeks when we host our Analyst Day, which we're really excited about, you all getting the chance to see exactly how they're going about that and the impact that it's having on their business. It's pretty profound. And I think anytime, year-over-year in a quarter, that you're improving margins over 300 points, you're really moving the ball forward as it relates to the quality of the overall business.
John Anthony Baliotti - Janney Montgomery Scott LLC, Research Division: And I guess -- I mean, I guess that -- it seems that bodes obviously well, given that Flow is, as you can see, is bigger than both of those other -- both -- bigger than Thermal and Industrial combined. So it seems that you've talked about the discipline, you've seen it in the Flow, you obviously have the discipline in transformers. So it seems that if these backlogs continue to grow like this, even with added capacity, it seems to indicate there could be some positive pricing, which, if you layer on to the size of Flow and the stability, seems to be a kind of a good incremental off of the foundation.
Christopher J. Kearney: Yes.
Jeremy W. Smeltser: Yes, we think so as well.
Christopher J. Kearney: Agreed.
Operator: Next question comes from Nathan Jones from Stifel.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: So it would appear that bidding on system orders in Food and Beverage and oil and gas is pretty robust at the moment, particularly in Asia Pacific. Can you give some more color around potential near-term drag on margins from both the commercial discipline and the mix shift there? And then to also talk about the longer-term aftermarket opportunities that are presented by that commercial discipline and, potentially, the margin benefits over the long term that, that strategy presents.
Christopher J. Kearney: Sure. Well, the commercial discipline in Food and Beverage, obviously, Nathan, is directed again at a higher quality backlog in -- on the systems part but a better component percentage for SPX components and then aftermarket opportunities. So -- and then the other part of that is really focusing the systems opportunities in what has developed as our sweet spot, which is primarily in dairy applications. And those are encouragingly strong, particularly when you consider demand for infant milk powder in places like China and the broader Asia Pacific region and when you consider that customers in Europe that we provide systems to are likewise targeting that opportunity. So that dynamic in the broad Asia Pacific market and specifically in China is driving some pretty healthy growth opportunities for us in Food and Beverage, not only in that part of the world but in Europe, which is now increasingly positioning itself to serve that market. So we have successfully, over the past several years, established ourselves, I think, as an important player in that market with the successful references that we've developed, and we're building from that success. And I think that success will bode well for us as we then can develop these new opportunities that we're seeing in the front log. And the activity there is pretty healthy.
Jeremy W. Smeltser: Yes, and so [indiscernible] -- and then as it relates to potential margin dilution from that increased business, I mean, I think we're really kind of already past that. And the level of business is consistent enough that the mix isn't changing significantly enough to move the margins down on an overall basis for Flow. And I think you combine that with how robust the market appears to be right now, where we can be more selective on the types of technologies we target and also the increased discipline on execution that we've added with a number of significant increases in personnel and changes to the business that Mark will outline in a few weeks in Wisconsin, I think you'll see that our confidence is really around margins continuing to move forward overall in Flow.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay, that's helpful to know. We've lapped the mix shift. And if I could just follow up with one on the medium-voltage transformers. You talked about the additional capacity in the market and how that's damped pricing in -- when we should be into a pricing recovery by now. What's your understanding of where capacity utilization is for the industry? And where do you think it needs to be at before we start seeing pricing improve?
Christopher J. Kearney: Well, lead times have remained pretty steady and particularly now in medium power, which is a pretty good barometer, Nathan. It -- lead times have been pretty steady at about 6 weeks.
Jeremy W. Smeltser: About 8 to 10 weeks on the medium power side.
Christopher J. Kearney: 8 to 10 weeks. Yes, I'm sorry. 8 to 10 weeks on the medium power...
Jeremy W. Smeltser: One correction, months.
Christopher J. Kearney: Months, excuse me. Yes, 6 to 8 months in medium power.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: I was about to fall off my chair when you said 8 to 10 weeks.
Christopher J. Kearney: Yes, yes, 6 to 8 months. And so lead times have been pretty steady there. And that's kind of a key indicator that we watch for, any potential impacts on pricing. The fact that it hasn't moved would indicate that there's still capacity out there. And for that reason, we haven't modeled any price increases into this year and, in fact, have not seen them. So it's a steady environment, but it's not, from a pricing perspective, moving to the upside.
Operator: Next question comes from Samuel Eisner from Goldman Sachs.
Samuel H. Eisner - Goldman Sachs Group Inc., Research Division: So regarding the commentary on your oil and gas orders, it seems as though some of your competitors in the space actually booked some double-digit orders on oil and gas, particularly OE pumps. You guys are talking up the fact that you see visibility, but it didn't really come through in orders this quarter. So just curious kind of what you're seeing from a competition standpoint on that side of the business.
Jeremy W. Smeltser: Yes, we've obviously seen a couple of our competitors in the space report already, and I think one showed pretty decent growth, and the other had a performance pretty consistent with ours. So in the space, I think it's important to remember our product portfolio, on the pump side specifically, is much more narrow than a couple of the larger competitors, and that's probably the big driver. And on the large pump orders, as classified in the industry, particularly by our largest competitor, those are orders that are typically the size larger than the ones that we're competing in. And so the good thing about our quarter, despite a lower level of overall awards on the pump side, I think, is, one, that we didn't see much from a lost order perspective. So all of the orders that are in front log really are just continuing to be out there and continuing to be worked on from a spec -- a technical spec and design perspective with our customers. And then the other positive, I think, is that -- on the midstream and the pipeline side, we did book -- have a really good order book in the quarter and continuing to see the front log actually grow in that area. So we remain pretty confident in the overall volume of activity in the market.
Samuel H. Eisner - Goldman Sachs Group Inc., Research Division: And then regarding the back half, about $11 million in restructuring expense. Can you talk a bit about what specifically you're attacking there? Is this just a continuation of the European restructuring? Are you guys looking at anything incremental there? And in addition, I think you targeted or at least talked about potentially optimizing the global footprint, so just curious where that stands and how you guys are thinking about that.
Jeremy W. Smeltser: Well, it's really, Sam, a continuation of moving the ball forward across all of the businesses. Those are challenging things to talk about ahead of time, when we haven't announced them. So I would say, based on that $11 million over the balance of the year, the majority of which, as you saw, we expect to recognize in Q3, there's no single actions that are as large as what we've done the last couple of years, in ClydeUnion specifically, but just a number of actions to benefit our 2015 profile.
Samuel H. Eisner - Goldman Sachs Group Inc., Research Division: Great. And just lastly, just on the timing of future divestitures, I believe there's still some businesses in discontinued ops. Just curious what the lead time is or the look-forward is on that.
Christopher J. Kearney: Yes. No comment to be made there, Sam, other than to say that our strategy has been telegraphed pretty clearly in terms of building this company around our Flow business, and that obviously hasn't changed. And so we're very happy with how that has all come together and with the improvement that we've seen now over the last 5 quarters in terms of how that business has performed, which has really, I think, validated the strategy and will continue to be validated in terms of the opportunities that we see coming forward for our Flow business. In the meantime, with respect to the other non-Flow businesses, we continue to run those businesses, invest in them prudently, continue to add value to those businesses and -- but the strategy in terms of where this company is developing hasn't changed.
Operator: Next question comes from Jeff Sprague from Vertical Research Partners.
Jeffrey T. Sprague - Vertical Research Partners, LLC: Just a couple of quick clean-ups, if I could. You've covered a lot of ground. On the Flow mix discussion of kind of the negatives being behind you, I also just wonder, though, could you address, was it actually unusually positive this quarter? With kind of the aftermarket strong and some other dynamics, I would think the Industrial mixers is actually hurt, but there's a lot of moving pieces in the quarter. I wonder if you could just address the mix relative to what would be typical in a quarter like this.
Jeremy W. Smeltser: Yes. I think that's a really good observation, Jeff. I think it was a very strong mix for us in Q2, particularly for Q2. And if you think about some of the items we commented on having strength, the pipeline valves and the nuclear valves certainly offset what is also a good perception of a drag from the mixers being down. So I think that, and combined with a pretty good aftermarket quarter for Q2, particularly on the pump side, yes, I think it was a strong quarter from a mix perspective, absolutely.
Jeffrey T. Sprague - Vertical Research Partners, LLC: Okay. And could you elaborate a little bit more? You made a couple comments, but on the underlying Thermal growth x South Africa, kind of where and what type of projects are these? And maybe a little bit of color on kind of the margin profile.
Jeremy W. Smeltser: Sure. I mean, we've seen strength in Asia Pacific. There's no question there. We also had a backlog build, actually, in the personal comfort heating businesses, which is -- was unusually large for us in the second quarter. And then I think, as Chris mentioned briefly, some of the more -- the new products in the cooling side, overall, have we seen some bookings and certainly some front log activity grow on that side. So I think in general, the margin profile is, x South Africa, moving forward a little bit, albeit with this level of activity in power generation globally, it is still very competitive, and it's not a significant move forward on margin and backlog.
Christopher J. Kearney: Yes. And the only thing I would add to that, Jeff, is that on the package cooling side in Thermal, that business has been very steady for us and continues to be that way in terms of the order flow there. And the margin profile in that business is better than the rest of the Thermal power-related product.
Jeffrey T. Sprague - Vertical Research Partners, LLC: And then just finally, on South Africa, are you guys actually getting paid? Are you getting cash out of the country? Do you -- is there a significant receivable that you have at this point in South Africa?
Jeremy W. Smeltser: No. We're pretty much substantially current on receivables that have been billed thus far, Jeff. So we've been managing the cash very closely in what we're investing versus what we're collecting.
Operator: The next question comes from Scott Graham from Jefferies.
R. Scott Graham - Jefferies LLC, Research Division: It looks like the orders were up in all 3 segments, as per an earlier point made on the backlogs being up. Could you -- would you be able to size that for us? I mean, were orders company-wide up 5%? Was it less than that? Was it more than that?
Jeremy W. Smeltser: Well, I think most importantly in Flow, the book-to-bill was at 1x. So -- or just maybe slightly below 1x. But as -- from a percentage perspective, year-over-year, we don't actually give an absolute order dollar value.
R. Scott Graham - Jefferies LLC, Research Division: No, I'm aware of that. I was just hoping you can give us a reasonable idea of what -- were they up low single digit or otherwise. If you can't answer it, that's fine.
Jeremy W. Smeltser: Yes. I'll just reiterate what Chris said in his prepared remarks. We did give some color there. Orders for the whole company were up 4% year-over-year and 9% sequentially.
R. Scott Graham - Jefferies LLC, Research Division: My next question is on the second half organic. You expect that -- let's say, in the Flow business, which is going to lead there? Is that going to be the monetization of some of these orders in Food and Beverage? Is it going to be the run rate business in Power and Energy? What's going to kind of lead the organic sales in the second half of the year in Flow?
Jeremy W. Smeltser: Yes. I think it's primarily driven by the long lead time orders from 2013 that are in the backlog and the timing of delivering those in the second half of this year.
R. Scott Graham - Jefferies LLC, Research Division: Okay. And last question is relating to the spillover of cost savings from actions taken in 2014. What would you expect would be some of the cost savings sort of dollar amounts that maybe would accrete to the company next year versus this year?
Jeremy W. Smeltser: Yes. I think in a vacuum, remaining savings in 2015 over 2014 would be in the ballpark of $10 million. Obviously, that's specific to those actions and doesn't consider inflation anywhere else.
R. Scott Graham - Jefferies LLC, Research Division: Okay. And if you don't mind, I wanted to maybe sneak one more in on the valve side. You were indicating that you had a good orders growth here in sort of the short cycle. I was wondering maybe some of the longer-cycle stuff, where valves, when you're talking about packaging of other products to -- with respect to larger projects. Some of those RFPs that we're talking about, that, I assume, involves the valves business, and is this kind of like a start to show some success in sales synergy from ClydeUnion to the core business that you guys have been looking to extract here?
Christopher J. Kearney: Yes, well, several things. The valve business, particularly as it relates to pipeline activity, transmission activity in the United States, that business is out of Houston, has been and remains quite robust. And with respect to the combined solution opportunities I alluded to in my remarks, that's a combination of valves; pumps; transformers; things that can come together, for instance, pumping station opportunities in transmission lines. So that is, as I mentioned before, the beauty of the Flow strategy coming together and giving us an opportunity to put together those various pieces to offer system solutions in the oil and gas business, which we believe and have always believed will give us a competitive advantage. And so as we've gone through the progression of fixing the front end of ClydeUnion, improving the manufacturing operation, focusing now on developing the aftermarket, which can feed other product opportunities for us throughout the rest of Flow P&E, but then bringing all that collection of products together to be able to offer a system solution to our customers in the oil and gas business gives us an advantage that we believe and we thought, as we made those acquisitions, would give us a competitive advantage. So it's developing nicely under Tony's leadership. I think more good things to come. We've tried to do this through a building block approach and one step at a time, and Tony and his team have made just terrific progress doing that.
Ryan Taylor: Thanks, everybody, for joining us on the call. We appreciate your time. This concludes our call for today. As usual, this is Ryan Taylor. I'll be around for the balance of the day if you have any follow-up questions. Thanks for joining us.
Operator: Ladies and gentlemen, that concludes the call for today. You may now disconnect.